Operator: Good morning, everyone, and welcome to Grupo Televisa's Fourth Quarter 2024 Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. Before we begin, I would like to draw your attention to the press release, which explains the use of forward-looking statements and applies everything we discuss in today's call and in the earnings release. I will now turn the call over to Mr. Alfonso de Angoitia, Co-Chief Executive Officer of Grupo Televisa. Please go ahead, sir.
Alfonso de Angoitia: Thank you, Elsa. Good morning, everyone, and thank you for joining us. With me today are Francisco Valim, CEO of Cable and Sky; and Carlos Phillips, CFO of Grupo Televisa. Last year was marked by several milestones, both at Grupo Televisa and TelevisaUnivision, which Bernardo and I are confident will allow us to create greater value for our shareholders. In 2024, we focused primarily on four key goals. The first goal was to streamline the OpEx structure and to rationalize CapEx deployment of our Cable Company to improve our free cash flow generation. Our second goal was buying the AT&T minority stake in Sky to integrate it with Easy and attain material synergies through cost cutting initiatives. Our third goal was to spin-off our non-core sports and gaming businesses, creating a newly publicly listed company in Mexico to unlock value for our shareholders. And our fourth goal was scaling and turning profitable our DTC business at TelevisaUnivision, while identifying opportunities to materially reduce the company's OpEx in 2025 to improve profitability and enhance its free cash flow generation. We believe we accomplished all these goals. Let me touch on each of them. First, we implemented a corporate restructuring process at our Cable segment to improve profitability, optimize CapEx, increase free cash flow generation and position us well to achieve sustainable revenue growth over the coming years. Valim is doing an amazing job at our Cable Company and at Sky. The measures carried out so far allowed us to improve profitability by over 300 basis points to 39% in 2024 relative to the third quarter of 2023, and we are confident that our Cable EBITDA margin will continue to expand gradually over the coming years due to ongoing efficiencies. Regarding CapEx, our Cable investments were optimized by 37% to almost $400 million in 2024, while our Cable CapEx to sales ratio of 15.6% was 740 basis points lower than that of 2023. This streamlining in Cable investments has been driven by a more disciplined subscription acquisition approach focused on value customers and a more efficient and rational expansion of our fiber network. In 2024, operating cash flow for our Cable segment, which is equivalent to EBITDA minus CapEx was over MXN11 billion growing by almost 38% year-on-year and accounting for more than 23% of sales. This implies that operating cash flow margin of our Cable segment increased by around 700 basis points. Second, we integrated Sky with our Cable segment to strengthen our competitive and financial position. On this front, we reorganized the structure of the combined company, allowing us to retain top talent and optimize duplicated roles. We also implemented synergies and efficiencies across several areas, including commercial, sales commissions, programming, IT, technology, finance and marketing, among others. This integration has allowed us to standardize regions, sales channels and commissions, have better customer base management, increase productivity, achieve cross-selling and upselling, improve penetration of triple play services and gradually reduce churn. The Sky restructuring and integration process allowed us to cut OpEx by around 10% year-on-year in 2024, while allowing our CapEx deployment of $83 million declined by 44%. Therefore, Sky's operating cash flow of around MXN3.2 billion increased by 3% year-on-year and accounted for almost 21% of sales. This means that the operating cash flow margin for Sky expanded by 300 basis points year-on-year. All-in-all, Grupo Televisa's consolidated operating cash flow was MXN14.3 billion in 2024, growing by over 28% year-on-year and accounting for almost 23% of sales. This implies that our consolidated operating cash flow margin increased by 600 basis points year-on-year. In 2024, the OpEx and CapEx of efficiencies obtained in our two consolidated businesses and a leaner corporate structure allowed Grupo Televisa to generate over MXN10.1 billion in free cash flow. We view this as a great achievement as it represents a free cash flow yield for our consolidated operations of around 43%. Third, on February 20th, 2024, we concluded the spin-off of Ollamani and its listing on the Mexican Stock Exchange. This spin-off not only streamlined Grupo Televisa's operations and simplified our asset structure, but also unlocked value for our shareholders through this new company that currently has a market cap of around $270 million. And our fourth major milestone was to turn ViX, our streaming platform, into a $1 billion direct-to-consumer business from a revenue standpoint and turn it profitable during the third quarter of 2024. Our DTC business is growing and scaling with our most important metrics trending in the right direction, with most of them ahead of plan. We added users and subscribers by more than 20% during the year, grew engagement, reduced churn, and generated significant marketing savings, driven by our efficient customer acquisition funnel through our free tier. Therefore, during the second half of the year, we already delivered the major milestones of a profitable direct-to-consumer business only two years after lounging the service, compared to four to five years for our peers. This was only possible because of two main reasons. The first one being we own the rights to the largest long-form video library in the world, in any language, with over 300,000 hours of durable scripted entertainment. And the second reason, we have material advantages with regards to original content cost production as we have a fully vertically integrated system in a very efficient location. We have a great and very efficient factory of content in Spanish. Each year, we produce around 100,000 hours of long-form video content across news, sports, and scripted entertainment. Achieving this milestone was an essential step in a transformational phase of TelevisaUnivision. Now, the next big opportunity for value creation is to build on this foundation through further integration and operational optimization of the business. On this front, I'm glad to share with you that we have already laid the foundation for further integration and efficiencies within TelevisaUnivision. In late December, we executed an optimization program reducing our headcount by around 1,000 employees or about 8% of global workforce. Combined with other efficiency measures, this will reduce our 2025 operating expenses at TelevisaUnivision by over $400 million. Having said that, let me turn the call over to Valim as he will discuss the operating and financial performance of our consolidated assets.
Francisco Valim: Thank you, Alfonso. Good morning, everyone. In 2024, Grupo Televisa's consolidated revenue reached MXN62.3 billion, representing a year-on-year decline of 6%, while operating segment income reached MXN23.2 billion, equivalent to a year-on-year decrease of 7.5%, mainly driven by lower revenue at Sky. Turning to our fourth quarter results, consolidated revenue reached MXN15.2 billion representing a year-on-year decrease of 6.9%, while operating segment income reached MXN5.6 billion equivalent to a year-on-year contraction of 4.4%, also caused primarily by the factor that I have mentioned. Now let me walk you through the operating and financial performance of our Cable operations. We ended December with a network of 19.9 million homes after passing around 73,000 new homes during the quarter or over 365,000 new homes during the year. During the quarter, we continue to execute our strategy to focus on value customers rather than volume, while working on customer retention and satisfaction. This contributed to achieving a monthly churn rate in line with our historical average of 2% per month, which we view as solid. However, more intense promotional activity by some of our competitors led us to deliver lower than expected gross adds. As a result, we lost 85,900 broadband subscribers and 95,000 video subscribers in the fourth quarter. However, so far this year, we have already seen an uptick in gross adds, while we keep working on churn reduction. This should contribute to a stabilizing and potentially growing slightly our Cable subscriber base going forward. During the quarter, net revenue from our reduction operations of MXN10.6 billion, which accounted for around 8%, 9% of total Cable revenue decreased by 2.3% year-on-year, mainly because we lost revenue given the cancellation of Afizzionados video package during the second quarter of 2024. Net revenue from our enterprise operations of MXN1.3 billion, which accounted for around 11% of total Cable revenue, declined by 6.3% year-on-year as in the fourth quarter of 2023, we're concluding an important government contract which translated into higher revenue streams. Moving on to Sky's operating financial performance. During the fourth quarter, we lost 270,000 revenue generating units at Sky, mostly coming from prepaid subscribers that had not been recharged in their service. Sky's fourth quarter revenue of MXN3.7 billion fell by 12. 4% year-on-year mainly driven by a lower subscriber base. To sum up, segment revenue of MXN15.6 billion fell by 5. 2% year-on-year, while operating segment income of MXN5.6 billion declined by 4.4%. Our operating segment income margin of 36% expanded by 30 basis points year-on-year, mainly driven by the efficiency measures that we have been implementing since the third quarter of 2023. Regarding CapEx deployment, our total investment of MXN2.7 billion during the fourth quarter fell by more than 27% year-on-year. So, our CapEx to sales ratio of 17.3% was over 500 basis points lower than that of the fourth quarter of 2023. Finally, operating cash flow for Cable and Sky, which is equivalent to EBITDA minus CapEx was MXN2.9 billion in the fourth quarter, increasing by 34% year-on-year and accounting for 18.7% of sales. This basically means that our operating cash flow margin increased by 540 basis points year-on-year.
Alfonso de Angoitia: Thank you, Valim. As I mentioned, you're doing an amazing job at izzi and Sky. Now let me walk you through TelevisaUnivision's 2024 results released yesterday morning. The company's full year revenue increased by 3% year-on-year to $5.1 billion for a fourth consecutive year of top line growth. Excluding the impact from the depreciation of the Mexican peso, TelevisaUnivision's full-year revenue increased by 4%, with revenue in the U.S. growing by 2% and revenue in Mexico increasing by 8%. Full year adjusted EBITDA of $1.6 billion declined by 3% year-on-year, but very importantly reflected a profitable direct-to-consumer business in ViX's second full year of operations. Excluding the impact from the depreciation of the Mexican peso, TelevisaUnivision's full-year adjusted EBITDA fell by 1%. The slight decline in adjusted EBITDA was driven primarily by investments in the expansion of our third-party advertising sales business in Mexico and higher sports-related costs with the Copa America tournament in the U.S. and Mexico, the Olympic Games in Mexico, and the Super Bowl in the U.S. Daniel Alegre, our new CEO at TelevisaUnivision, is doing an amazing job. We're convinced that he will deliver great results in 2025. In 2024, TelevisaUnivision refinanced $2.1 billion of debt maturing in 2026 and paid down $150 million in debt using proceeds from the sale of non-core assets. TelevisaUnivision's net debt declined by around $400 million. Moving on, consolidated capital expenditures for Grupo Televisa were $493 million during 2024, significantly below our initial guidance of $793 million due to a more efficient CapEx deployment, inventory management, and because the Mexican peso was stronger than initially expected. For 2025, our CapEx budget of $665 million considers growing our network footprint by passing close to 1 million homes, increasing our subscriber base, and supporting growth. To wrap up, Bernardo and I are confident that our focus on value customers, efficiencies, and ongoing integration between izzi and Sky at Grupo Televisa, and further integration and operational optimization at TelevisaUnivision will allow us to create greater value for our shareholders. At TelevisaUnivision, now that our direct-to-consumer business has gained scale and achieved profitability, we are confident that additional value can be unlocked through further integration, optimization, and unification of both our content business and our geographies. Now we're ready to take your questions. Elsa, could you please provide instructions for the Q&A?
Operator: [Operator Instructions] The first question comes from Carlos de Legarreta with Itau.
Carlos de Legarreta : Thank you. Good morning, Alfonso and team. The first one is, can you provide color in the lower than expected CapEx allocation? Should we expect a similar level going forward? You did mention that you expect to build 1 million homes in 2025, so I just want to understand how that plays out. And the second one, can you share your thoughts on M&A within the Cable space at this point in time?
Alfonso de Angoitia: Hi, Carlos. As you know, as to your second question, as you know, we tried for a long time to consolidate the industry. It is an industry that needs a market repair. A four player market in this kind of industry and in a market such as Mexico is not ideal. We have not been successful as is public, and we're now focused on operating and improving our companies. As to your second question that has to do with CapEx, as we mentioned, 2024, our consolidated CapEx was $493 million. It was significantly below our initial guidance. And as I mentioned, it is due to a more efficient CapEx deployment, inventory management and also because the Mexican peso was stronger than initially expected. For 2025, our CapEx budget is $665 million and as you mentioned in your question, we are going to pass close to 1 million homes with fiber and I'll ask Valim to expand on this.
Francisco Valim: So, I think that just to clarify what Alfonso just said a little bit more detail is the fact that we have used a lot of the inventory that we had accumulated over the past in this 2024. We haven't done -- we have not done anything that was absolutely essential to keep on growing the company. But most of the reduction came from the opportunity that we saw in synergies with Grupo Televisa and Sky in combining all of the infrastructure that we had. Plus, obviously, we had a little less gross adds than we were planning on having, which also reduced the CapEx by some. So, all in all plus besides that we also in our B2B business we are focusing on more higher return clients. So, CapEx was more adjusted than also we were planning. And with the $665 million planned for 2025, we will keep on growing our subscriber base and enhancing the network just like we were describing with more home space and obviously improving the network for the quality that the clients demand.
Carlos de Legarreta: Would it be possible to know what kind of exchange rate are you forecasting for 2025?
Francisco Valim: 21.5% -- 20.5%.
Operator: The next question comes from Alejandro Azar with GBM.
Alejandro Azar: The first one is, on if you can give more color on the competitive landscape in the Cable segment, especially on the disconnections you had in the fourth quarter. And on that same front, I was amazed that how you are low -- how your clients are lower, but you are expanding your free cash flow. So, my question on that is how do you balance the user base, I mean, between quality client with lower churn and the ones that are more sensitive to price? And the other and I would say the other question is on TelevisaUnivision.
Alfonso de Angoitia: Valim, can you take the first question?
Francisco Valim: So, I think that to your point, we are focusing on higher value customers. We are the ones that were more established in the market from the very beginning, and we have significant amount of customers that are very, very loyal to us and where churn is very, very low. Not just with new acquisitions comes a little bit more churn and we see that happen in our subscriber base, but also in our competitors' subscriber base. And I think that to your point, we think we can improve our gross adds in this first quarter, and second quarter of 2025 by some changes we've made internally. We think we needed a little trimming on how our sales channels were operating and the improvement, and we anticipate that we'll have just a little growth to more growth in towards the end of the year 2025 because of the changes we have implemented internally. And we build on top of the existing subscriber base that like I said is very loyal. In terms of how we've managed to increase cash flow generation despite the fact that we have a churn, and therefore revenue decline is because we are optimizing internally all of our processes. We were able to integrate and synergize with Sky and infrastructure. So, all of those things, they are reflected on the amount of cash flow we were able to generate this year. And but again to your point, we think we need to go back to a growth subscriber base, but always have in mind that we are not willing to just sacrifice growth at any cost. We think that growing at any cost not only hurts the company in the short but also in the long run.
Alejandro Azar: Valim, on that front, you had a strong recovery of working capital but now that you are planning to grow again, how should we think about that? And my other question would be on TelevisaUnivision. You had really good years in terms of free cash regeneration in 2024. You announced savings. How should we think about the leverage base of TelevisaUnivision in 2025 in terms of an acceleration? And with that in mind, in terms of monetization of this asset, with deregulation in the U.S., would you analyze perhaps a team-up with other players instead of an IPO or do you guys still prefer the IPO route? Thank you, and I'm sorry for the several questions.
Francisco Valim: So I'll finish up the Cable discussion first. So the reason why we reduced the working capital is just basically because of, like I said, inventory and some working capital that we had that was in process. But it shouldn't impact at all the growth and working capital should be basically flattish when compared to the existing one.
Alfonso de Angoitia: And as to your second question, we're actively pursuing ways of deleveraging TelevisaUnivision as you saw in 2024. It is one of our top priorities. We have no maturities in 2026 as we refinanced those maturities. So that gives us space. TelevisaUnivision is a very attractive business. We are crystallizing that attractiveness of the business when you see the success of ViX, of our streaming service, which is gaining ground. It's EBITDA positive, so it's profitable starting in the second quarter of last year. We have gained ground in terms of subscribers. We have also made improvements in terms of MAUs, in terms of engagement, in terms of growing our advertising sales on the platform. So we're very happy with the prospects of our streaming service. This is now a profitable business and it will become more profitable this year. And you would ask why, and it's because it's based on our library. As you know, we have the largest library of Spanish-speaking content in the world, more than 300,000 hours. And also we have the largest and most successful factory of content in Spanish in the world, based in Mexico, where we can produce large quantities of high-quality content at very attractive costs. So we're moving in the right direction and we will actively pursue alternatives in terms of deleveraging the company. As to consolidation of the industry, I mean, this is a very attractive asset for anybody, for any media company or other company. I would highlight that the most important thing that came out of the election cycle in the United States is that it made clear that the power of our audience, Hispanics were widely credited with determining the outcome of the election, and that becomes a very attractive asset for anybody in the United States and elsewhere. So it's a very attractive asset, and let's see in the near future what comes up and happens.
Operator: The next question comes from Gustavo Farias with UBS.
Gustavo Farias : Two from my end. So the first one, if you could comment, what do you see as, if you see additional room for synergies in OpEx and CapEx savings from Sky Operation? And how much are they to expect for '25? And my second question, if you could comment regarding TelevisaUnivision on the DTC business now that the business is ready achieved rate keeping in Q3. How do you see growth perspective versus profitability going forward?
Alfonso de Angoitia: Yes. I'll ask Valim to take your question about synergies and what has to do with Sky and the integration of Sky with izzi and then I'll take the second question about the TelevisaUnivision.
Francisco Valim: So, we will see 2025 the full impact of the synergies we're able to generate with Sky and also Grupo Televisa in terms of back office. And I think that will be materializing in both EBITDA and cash flow. Obviously, we are impacted by the industry decline of DTH or the satellite business, which always is an issue. But in terms of the cost structure, we will be linear in 2025 than we were in 2024 given the synergies that we have implemented and still are in the process of implementing.
Alfonso de Angoitia: And Gustavo to your second question that has to do with ViX, with our streaming service, with our direct-to-consumer business, as I mentioned, we're very happy with what we have seen in terms of the development of that business. It has evolved into a healthy, growing, profitable business. So, we're it leads us to improving the efficiencies between linear and streaming. So, what we see in 2024 is that ViX in the second year of operations produced $1 billion of revenue. So, this is a pretty new business for us. It was the top priority for us to launch the streaming service, and it has become a $1 billion business in its second year of operations. So, that we're very happy with that and also with the fact that in this second year of operation, it became an EBITDA positive business. So, it's profitable now. We ended the year with over 20% growth in terms of MAUs. And so, we're growing in terms of total streaming hours and we're monetizing those streaming hours through the sale of advertising. We also grew ARPU. So, in general, I would say that we're very, very happy with ViX. I would say that you will see a more profitable ViX in 2025.
Operator: The next question comes from Eduardo Nieto with JPMorgan.
Eduardo Nieto: You seem to have a pretty large cash position at this moment. You generated healthy cash flows. Just wondering if you plan to use that for the reduction as on a cross basis leverage is quite high at the moment or anything you can share as to what your priorities are for the deployment of this cash particularly given that you have bond maturities in 2025 and 2026?
Alfonso de Angoitia: I'll ask Carlos to answer that one.
Carlos Phillips: Yes, Eduardo. As you mentioned, we have a pretty strong liquidity position in our balance sheet. We have approximately $2.3 billion equivalent in cash. As you mentioned, our debt maturity is pretty long dated. The average weighted in life is around 15 years. But we do have some dollar debt that's maturing this year and next year. Our intention and our focus, as we mentioned in previous calls has been to focus on free cash flow generation and deleveraging. So, we are intending to use part of our cash to reduce the gross leverage. Our net leverage is 2. 5x, which is still pretty strong. We have a very high commitment to maintain our investment grade ratings. So, we will use the excess cash that we generated in 2024 to address these upcoming maturities.
Eduardo Nieto: Can you also expand on our strategy as a strategy that we followed last year in terms of hedging?
Carlos Phillips: Yes, that's a very good point, Eduardo. So, these maturities that we have due at 2025 and 2026, Eduardo, these are dollar bonds, but we hedge them into peso exposure last year. We did that before the election, so the average exchange rate at which we have those dollar exposures is around $18.3, so that's also an important point. So we'll be using pesos from our cash balance to pay down these bonds and maintain our dollar balance in cash.
Eduardo Nieto: And just one quick follow-up on your point on rating agencies. Is there anything you can share around what they're focused on? What do you think is the bigger risk for the ratings going to high yield? Is it growth? Is it medium to long-term strategy? Anything you can share as to what your conversations have been with agencies?
Carlos Phillips: Yeah, I mean, as you've seen from recent reports, in particular from Fitch and Moody's, one of their concerns has been, for example, the operating trends in Sky, which is, as Valim touched on in his remarks, there's a technological decline there that we're addressing. But from our end, really, what we're trying to focus on, as we were mentioning, is doing all that we can do to maintain our investment-grade rating. That starts, obviously, with cash flow generation. As we've been mentioning in previous calls, the whole company, from top to bottom, is laser-focused on generating cash and operating in an efficient manner. We delivered that in 2024, as you can see from our cash flow trends. And that's what we're going to continue to do, to focus on cash flow generation for the agencies. And the other one, which is, we think, a pretty conservative position is the liquidity that we hold today. We hold a significant amount of cash. An important percentage of that cash is in dollars. And we also have other liquidity mechanisms with an RCF that we have. So it's those two factors are the ones that we're focusing more on. And as mentioned before by Alfonso and Valim, obviously, the operating aspect in terms of the top line is important as well.
Operator: The next question comes from Vitor Tomita with Goldman Sachs.
Vitor Tomita: Two questions from my side. The first one, on the broadband market, you cited some aggressiveness and some promotional activity from competitors. If you could give a bit more color on that aggressiveness you are seeing from competitors in broadband? And the second question from our side would be on more of the macroeconomic context in Mexico. There has been some concern over some potential macroeconomic headwinds in Mexico, deceleration in consumption trends. I know your business is relatively defensive, but do you see any particular sensitivity in a context like that? Do you see risk of pressure on churn rates? Are there any other measures that you can take on that front?
Alfonso de Angoitia: Yeah. As to your second question, the macro question, I would say that cable and especially the broadband offerings that we have are pretty resilient in terms of service. However, of course, any of our businesses are affected or all of our businesses are affected by the macroeconomic things that happen in Mexico. So I would say that we're carefully looking every quarter at what's going on. And so we're able to take the right preventive measures. Your first question has to do with promotions. I will ask Valim to answer that one.
Francisco Valim: I don't think that the aggressiveness has changed. I think that we are more selective as to what we want to bring into the company. Churn in our case is mostly due to more recent climbs than it is due to the existing subscriber base. So we want to keep on increasing and improving sales. We have churn very much under control. And I think that those changes that we are implementing internally will allow us to go into positive net ads very soon.
Operator: The next question comes from Marcelo Santos with JPMorgan.
Marcelo Santos: Hi, good morning, Alfonso, Valim, Carlos. Thanks for taking the questions. I have two. The first one is about the pricing environment in Mexico. How do you see the outlook for potentially increasing broadband prices, given that AMX is saying that they do not foresee scope for price increase in near term at least? And the second is regarding, a bit of your churn behavior. So just did you say only 2% churn? Just want to confirm that. How has this been trending? How was it before? Like just trying to was it 2% all the way or is it going down or going up? I just want some more color on that behavior.
Francisco Valim: So like you said, AMX, they have said that there will be a lot of price increases here and we are not anticipating any adjustments price wise like you see in other countries like Brazil for example, where you do have annual inflation related price adjustment. So, we don't anticipate that happening here in Mexico. The way we see ARPU growing is by upselling with more of the same meaning more speeds, more content and new products like mobile phones and things like that. So, that's how we see revenue growth growing on the existing subscriber base plus new additions in terms of subscribers. On the churn behavior, we can easily split this discussion into two. The subscriber base that we have has a very low churn when compared to any company in this business in the world. When we refer to the new acquisitions that's where churn is a little higher and the blended is below 2% which what we reported. So, there are this two behavior approach to churn that we take, and internally we manage that the same way. So, we don't see a spike in existing customers in terms of churn whatsoever. What we have seen is that because of we have been very aggressive in 2022, 2023 in terms of sales and promotions those clients they we have to deal with the price uptick that would happen individually with which one of them which we call [indiscernible] and that's what has increased the churn a bit, but well under control now that all of those clients that have the higher potential for churn have churned already.
Operator: The next question comes from Matthew Harrigan with Benchmark.
Matthew Harrigan: Thank you for taking my questions. Firstly, you still, I think, have a substantial VC presence in in Mexico. You're certainly one of the top five investors. I know your Liberty Global who CEO is on your board. You know, they like to flash their valuation on their VC portfolio when they report, I think, it's around $3 billion right now. Is there any way to get more profile on that or monetize that further? I mean, clearly, you're in a very advantaged position as a TNT investor in Mexico. And then secondly, we know ViX has big advantages in the library and the programming volume, and soccer and news, but some of your competitors who have different emphases on their business admittedly, like Amazon and Netflix are getting more aggressive. Ted Sarandos was with President Sheinbaum yesterday when they announced that programming investment. How would you characterize the direction of the AVOD and SVOD competition in Mexico with so many other competitors really being drawn to what's a very attractive market?
Carlos Phillips: As to the second question, in what was announced by Netflix yesterday in Mexico, I think it's great. Competition is welcome. It will make us better. We're not surprised that they're doing that as Mexico is a great market. We are the largest and best producer of content in Spanish in the world. As I have been saying, we own the largest library in Spanish speaking content, which we have assembled throughout many, many years. We're the number one producer of that content in Spanish. So, we through our factory, what we call our factory or our studio in Mexico, I would say are the best and most prolific studio in Spanish. So, we produce very large quantities of high quality content. And we're very efficient in terms of producing that content, if you look at our costs. So we'll continue to do what we do, and competition is welcome. It only reinforces our view that producing content in Mexico makes all the sense in the world. As to your second question, we have done, in the last years, media for equity deals at very attractive valuations, because we started doing this four or five years ago. So we're very happy with the investments that we have made. We have made those investments in top companies like Rappi, like Kavak, and others. So I believe that we'll start seeing the monetization of those investments in the near future. But if we look at our portfolio and the investments that we have made, I think all of them have made sense. And we're very happy with the valuations that we came in originally and with the prospects of those businesses.
Operator: This concludes our question-and-answer session and today's conference call. Thank you for attending today's presentation. You may now disconnect.